Operator: Greeting and welcome to the Installed Building Products Second Quarter 2014 Earnings Conference Call. At this time, all participants are in a listen only mode. A question and answer session will follow the formal presentation. (Operator Instructions). As a reminder, this conference is being recorded. I would now like to turn the conference over to your host Mr. Jason Niswonger, Director of Investor Relations for Installed Building Products. Thank you. You may begin.
Jason Niswonger: Good morning. We would like to thank you for joining us today for Installed Building Products second quarter 2014 earnings conference call. Earlier today we issued a press release on our financial results for the quarter which can be found in the Investor Relations section on our website at www.installedbuildingproducts.com. On today’s call management’s prepared remarks and answers to your questions contain forward-looking statements within the meaning of the federal securities laws. These forward-looking statements include statements concerning demand for our services, expansion of our business the improvements in the U.S. housing market and our end markets, our ability to strengthen our market position, our ability to pursue value enhancing acquisitions and expectations regarding our sales and growth in 2014. Forward-looking statements may generally be identified by the use of words such as anticipate, believe, estimate, expect, forecast, intend, plan, and will or in each case they’re negative or other variations or comparable terminology. These forward-looking statements include all matters that are not historical facts. By their nature forward-looking statements involve risks and uncertainties because they relate to events and depend on circumstances that may or may not occur in the future. As a result, actual events may differ materially from those expressed and/or suggested by the forward-looking statements. Any forward-looking statement made by management on this call speaks only as of the date hereof. A full discussion of the company’s operations and financial conditions including factors that may affect our business and future prospects is contained in documents it is filed with the SEC and will be contained in subsequent periodic filings made with the SEC. New risks and uncertainties come up from time-to-time and it is impossible for the company to predict these events or how they may affect it. The company has no obligation and does not intend to update any forward-looking statements after the date hereof except as required by federal securities laws. In addition, management uses certain non-GAAP performance measures on this call. You could find a reconciliation of such measures to their nearest GAAP equivalent in the company’s earnings release which is available on our website. This morning’s conference call is hosted by Jeff Edwards, Chairman and Chief Executive Officer; and Michael Miller, the company’s Chief Financial Officer. Now I will turn the call over to Jeff.
Jeff Edwards: Thanks, Jason. And thank you everyone for joining us today to review our results for the second quarter of 2014. I would like to begin with the summary of our operating highlights and share some market color; then Michael Miller will follow with some additional details on our quarterly results and capital position; and finally, after our prepared remarks we will open up the call for questions. Installed Building Products is the nation’s second largest installer of insulation products for the new residential construction market and also a diversified installer of complementary building products throughout the United States. We are involved in all aspects of the installation process including the direct purchase of materials from national manufacturers, the timely supply of materials to job sites and the quality installation of the products for our customers. In the second quarter, we produced another solid quarter of growth and profitability by also taking steps to strengthen our balance sheet and liquidity to further position our company for growth. During the quarter, we increased our net revenue 21% to $126.3 million and generated adjusted EBITDA of $10 million, an increase of 89% compared to the prior year quarter. We improved our adjusted net income to $3.5 million or $0.11 per diluted share as a result of our continued growth and our disciplined approach to managing costs. In the quarter, U.S. residential construction completions continued to improve compared to the prior year, which provided a favorable environment for our business to succeed. Additionally, our well-positioned geographic footprint across the majority of the nation’s strongest housing markets allowed us to further expand operations and capture a higher share of the market. Our same branch sales grew approximately 18% compared to an increase in U.S. housing completions of over 15% for the second quarter. In our primary single-family end market same branch sales improved approximately 20% compared to an increase in U.S. single-family housing completions of nearly 12% in the second quarter. Our strong performance reflects the successful investments we have made to scale our business in a disciplined manner, optimize our operations and dedicate our efforts to exceptional customer service at all of our branch locations. Our increase in EBITDA to $10 million is nearly doubled compared to the prior year period and continues our track record of profitable growth. This improvement reflects not only our solid same branch sales growth, but also our improved gross profit in our ability to contain operating expenses. We have a proven and successful platform for sourcing accretive acquisitions and we remain focused on capitalizing on attractive growth opportunities to further expand our reach. Our industry is highly fragmented, allowing us to identify regional insulation installers in attractive markets where we can enhance value through our organizational structure, national platform and operational expertise while retaining local brands. talent and customer relationships. By way of example, yesterday, we acquired Marv's Insulation, a leading insulation installer in the Boise, Idaho market. This deal is a great example of our well crafted approach to expanding our footprint and marked our entry into the Boise market to an established operator with over 25 years of experience and extensive relationships with customers ranging from local home owners to national home builders. As of June 30, 2014 Mars had trailing 12 months revenues of approximately $3.5 million and we are now positioned to further expand our local presence while achieving synergies through integrating this branch on to our national platform. We continue with the excellent acquisition opportunities in our target markets. We have a robust pipeline and we will remain disciplined in working with companies that best meet our investment criteria to grow our sales accretively. We have a strong balance sheet and significant to capital achieve our growth objectives. In June, we successfully completed the secondary equity offering which increased the liquidity of our publicly traded shares and raised net proceeds of approximately $14.4 million to the company. In July, we expanded our available capital with the new five year $100 million credit facility which further enhances our ability to invest in growth and capitalize on new market opportunities efficiently and quickly. Looking to our end markets, we remain positive on the long term housing recovery, which translates into growth in our business. We based our constructive outlook on various factors including improving employment, rising household formations, continued higher affordability and historically low mortgage interest rates supporting a sustained recovery. Entering the third quarter, we believe the market has started to experience increase in the lag between when a house is started and completed. While starts are a good indicator for forecasting in future sales as the timing of installation services are largely weighted towards the end of the construction process, completions are better indicator of our revenue. The increase in the lag could delay the timing of when we complete our installation services. The housing industries observed these [cap rate] shifts and lag time in the past and we believe this recurrence is lightly related to a number of issues in our home building production process, which we anticipate will revert back to normal overtime. We are encouraged by our strong momentum year-to-date and we expect to continue to outpace single family residential construction activity moving into the second half of 2014. We believe continued improvements in our cost structure and operations will offset any impact of the shift in completion lag times. In summary, we are pleased with the strong improvement in our results during the second quarter. Our deep rooted focus on serving our customers positions us to continue to grow our revenues, while we leverage our cost base to enhance our profitability, to achieve our long-term EBITDA margin in the mid-teens which we experienced in more stable housing environment. We are doing this by expanding and improving our local operations to efficiently deliver, best in class customer service while containing our cost. I will now turn the call over to Mike, who will provide more details on our second quarter results.
Michael Miller: Thank you Jeff and good morning everyone. In the second quarter of 2014, we continue to expand our revenue, grow our profitability, strengthen our balance sheet and improve our liquidity. For the second quarter, our revenue increased 20.7% and improved 17.9% on a same branch basis. Our same branch single-family sales growth of 20.1% exceeded the 11.8% increase in single family U.S. housing completions during the second quarter. We’ve made continued progress on improving our profitability in the second quarter, with gross margin of 27.6% or 250 basis points higher and a 25.1% in the prior year quarter. Our gross margin before depreciation and amortization expense expanded to 29.8%, a 290 basis points improvement from 26.9% in the prior year quarter, which was primarily due to favorable product mix, higher pricing and operational efficiencies. We believe gross margin excluding depreciation and amortization more accurately reflects the progress we’re making in our core operations. Selling and administrative expense as a percentage of net revenue increased to 140 basis points to 23.4% from 22% in the prior year. This increase was largely attributable to an increase in costs associated with being the publicly traded company and one-time items including $1.3 million in IPO and equity follow-on offering costs, $300,000 in restricted stock grants and $262,000 for initial stocks documentation. Excluding these one-time items our SG&A expense as a percentage of net revenue improved slightly to 21.9% from 22% in the prior year as our investments in personnel, facilities and other operating items to support our growth were more than offset by higher revenues. While we will have additional costs related to being a public company, we expect our reported SG&A expense as a percentage of sales to decrease overtime as we continue to scale our operations and benefit from increasing sales as the housing market improves. Adjusted net income from continuing operations for the second quarter was $3.5 million or $0.11 per diluted share compared to $1.4 million or $0.07 per diluted share in the prior year quarter. Adjusted net income excludes certain one-time and non-core items, such as non-cash accretion charges, discontinued operations and cost associated with our IPO and follow-on equity offerings. On a GAAP basis, net income attributable to common shareholders was $2.3 million or $0.07 per diluted share in the second quarter 2014, compared to a $0.3 million loss or $0.02 loss per diluted share in the prior year quarter. Reported GAAP net income for the second quarter 2014 includes the previously mentioned one-items. The second quarter 2013 GAAP net income includes non-cash accretion charges on former redeemable preferred stock which is redeemed in full on February 2014 with a portion of our IPO proceeds and did not impact second quarter 2014. For the second quarter, adjusted EBITDA increased to $10 million an 89.1% increase from 5.3 million in the prior year quarter. As a percent of net revenue our adjusted EBITDA improved to 7.9% a 290 basis point increase from 5% in the prior year quarter. We believe adjusted serves as the most useful profit metric to measure our operating performance. Now moving to our balance sheet, at the end of the second quarter we had total cash and borrowing capacity of $40.9 million including a cash position of $5.1 million and available borrowings under our revolving credit facility of $35.8 million. In June we successfully completed a follow on equity offering which consisted of 9.3 million shares of which 1.2 million shares were sold by the company creating net proceeds of approximately $14.4 million to the company which is available for general corporate purposes. The offering roughly doubled our publicly traded equity flows providing the additional liquidity to shareholders. Subsequent to the end of the quarter in July we entered into a new five year $100 million senior secured credit facility consisting of $75 million revolving line of credit and a $25 million term loan which replaced the company’s prior $15 million revolving credit facility. The credit facility bears interest at a rate of LIBOR plus a spread of 125 to 225 basis points depending upon our leverage ratio. We are pleased with the terms of this facility which provides us with an attractive source of capital to accomplish our growth initiatives, including our financing transactions, acquisitions and our ongoing operations after the end of the second quarter as the date of this call, we have cash of approximately $20 million and nothing drawn on our $75 million revolving credit facility. With our strong balance sheet and asset like business model, we have significant financial flexibility to continue capitalizing on the attractive growth opportunities in front of us. I will now turn the call back to Jeff for closing remarks.
Jeff Edwards: Thanks Michael. As always I'd like to thank all of our employees for their dedication and contribution to the success of IBP. The progress we've made year-to-date to improve our business is encouraging and we continue to strengthen our market leading positions in some of the most attractive housing markets across the U.S.. We believe, we have a best in class operating platform and align management team and a critical position and an attractive industry all positioning us for future success. We are well position to continue to grow our business, we invest our cash flow in the new market opportunity and enhance shareholder value. We look forward to updating you on our progress in the quarters and years to come. Operator, we would now like to open up the call for questions.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. (Operator Instructions). Our first question comes from the line of Susan Maklari with UBS. Please proceed with your question.
Susan Maklari - UBS: Good morning. Why didn’t you guys talk a little bit about the increased lag that you talked about in your comments between starts and completions. Just give us a little more inside into maybe how much that fixed expanding and just sort of some of the trends that you're saying in that?
Michael Miller: Hey Susan, it's Michael. How are you?
Susan Maklari - UBS: Good.
Michael Miller: Good. That’s a good question. We spend a lot of time here kind of looking at it. And I don't if you have seen some of the recent information published by the NAHB, that talks about the labor shortages that other trades are experiencing within the industry but clearly there has been a delay that’s been created relative to the completion of housing cycle associated with framers and other trades. Currently, we are not experiencing any delay or any labor shortages on our sites but as our products are installed after the houses framed and after the plumbers come in and electricians come in, fairly that can impact, that delay can or that lag can impact the timing of when we do our installation services. But as we’ve spoken on numerous occasions, for us it’s just a delay in terms of when we do the installation versus actually getting to the installation. And we believe that we will continue to outgrow the level of actual completions of single-family starts that are occurring. And we also believe that the operational improvements that we’re seeing in the business from our profitability perspective will more than offset any delay that we experience associated with an increase in the lag.
Susan Maklari - UBS: Okay, that's very helpful. Yes?
Michael Miller: I was going to say, in terms of the actual day lag that’s been created -- I mean again we’ve looked at the NAHB information; we’ve done some analysis internally relative to starts, permits and the relation of completions to starts and permits over time. And that correlation and doing analytics around that, you can’t come to an actual specific number. But the metrics would say that you are looking anywhere between five days to seven days difference from what it has been historically. And these times have occurred; I mean this has happened during different times of the housing cycles. And we believe that over time, it will normalize back to typical construction times going forward.
Susan Maklari - UBS: Okay, that's very helpful. Thank you. And then on some along the same lines, can you talk a little bit about the kind of pricing power that you guys are seeing, given what is going on in terms of maybe the volumes are coming down a little bit, but there being some increased issues around getting projects completed. Can you talk a little bit about how the pricing is bearing out there?
Michael Miller: We’re seeing -- I’ll let Jeff add some commentary on this as well. But given our ability to execute very well at local level and the operational excellence within our team in the field, we believe that we’re continuing to see direct pricing power relative to our overall cost structure. And that’s reflected in the improvement in gross margin.
Jeff Edwards: And we pride ourselves -- this is Jeff Edwards. We really pride ourselves on providing excellent service to our customers. And as a result that kind of performance we deserve really to garner the kind of price that we think we should be paid, fair price for that level of service. So, everyday we’re deciding who we should do work for and continuing to kind of outperform.
Susan Maklari - UBS: Okay, great. Thank you very much. Congrats on a good quarter.
Jeff Edwards: Thank you.
Michael Miller: Thank you.
Operator: Thank you. Our next question comes from the line of Bob Wetenhall with RBC Capital Markets. Please proceed with your question.
Bob Wetenhall - RBC Capital Markets: Hey, good morning and congrats on a very solid quarter.
Jeffrey Edwards: Thanks.
Bob Wetenhall - RBC Capital Markets: Hey. I wanted to understand a little bit, new res housing starts look like they are decelerating. And you guys posted some very strong growth rates in the quarter. Obviously, there is that lag between starts and completions. And I just wanted to know how we should be thinking about organic growth rates; is the high teens organic growth rate sustainable if housing starts start to be kind of more mid single-digit? And also two, are you outperforming the market for completions just because of your regional location?
Michael Miller: I guess there is a couple of questions in there. We’re outperforming, to answer the second question relative to our outperformance; I mean it really is our ability to execute within all of our regions. I mean it’s not just a pocket of a one particular region of the company that’s outperforming relative to single-family completions, permit starts in their markets, it really is kind of companywide. And it goes back to what Jeff was saying before, we believe it’s our ability to execute very well at a local level and bring that operational excellence to the business. And that’s something that we’ve built over decades quite frankly in terms of our ability to execute. So we believe that we will continue to do that as the market continues to recover. Clearly, as it relates to the company, as it relates to the any deceleration in particularly single-family housing starts that will at some point impact the company’s revenue because clearly 75%, approximately 75% of our overall revenue is derived from single-family completions or single-family units. So, a deceleration in single-family starts absolutely will overtime impact the company but as we clearly demonstrated over many years, we have the ability to outperform the overall market. So even if the market isn’t performing well as we’ve demonstrated over the past several quarters on a public basis and historically as a private company, we have been able to do better than the overall market.
Bob Wetenhall - RBC Capital Markets: Got it, that’s what I was looking for. If again switch gears a little bit towards profitability, really nice same store sales performance it looks like, that’s a lot of its driven through volume of roughly two-thirds, could you give a little bit color on what’s going on between price mix and increased efficiencies? Thanks and good luck next quarter.
Michael Miller: Thanks. The non-volume related increase in same brand sales really is that is a combination of mix, job size, the types of jobs that we are doing also we are getting as we mentioned earlier from the first question that [Evan] had, we are getting price increases relative to the installation of our services and more importantly we are seeing very good operating efficiency within the business both on a labor efficiency perspective as we are able to do more installed jobs in a given geographical area and also we’re leveraging the cost structure of kind of the logistics out of our business in other cost of goods sold. So we feel as we have stated, we feel very good about what the business is doing right now as it relates to the kind of field operations performance.
Bob Wetenhall - RBC Capital Markets: Got it, thanks so much.
Operator: Thank you. Our next question comes from the line of Nishu Sood with Deutsche Bank. Please proceed with your question.
Nishu Sood - Deutsche Bank: Thanks. First question I wanted to ask Jeff you mentioned that given the improvement in profitability, operating efficiencies and gradual improvements in housing market that mid-teens EBITDA margin you had achieved historically should be possible again. So why don’t you dig in on that and we appreciate that color. I wanted to dig in on your thought process around that, what are the drivers that are going to get us there, is it going to be mostly a function of whether housing starts normalizing call it 16, 17 or 18 significantly that trajectory that is the most important driver there or is the operating efficiency that you are mentioning labor and et cetera going to be the main drivers to that. So maybe you can just talk us through that, potential timeframes and what the drivers of that are?
Jeff Edwards: Okay Nishu this is Jeff. And yes, I think it's probably really both, the operating efficiency that we are being enable to drive through that business, but clearly also it is somewhat dependent on volume and the housing market recovery, I think all of us are still clearly in the can't that ultimately the housing market is going to come back and stabilize, I think we’re all just in many cases do not probably get a bit about when exactly that will happen and to what degree exactly. But otherwise, we feel really fantastic about the business, the business has never been stronger from an operational perspective and never been really more efficient, it's just a volume issue as the market returns will be there to meet it.
Nishu Sood - Deutsche Bank: It is been some concerns of this year amongst the investment community that multi-family could be a much higher percentage than it has been historically of housing starts. Normally historically has been around 25% to 30%, people ask the question, given the challenges that the younger generation face, what if it ends up being 35% or more. Does that affect your outlook for long-term profitability for IBP?
Michael Miller: Nishu, this is Michael. That's a great question. And it’s certainly going to be an interesting debate and also let’s see what happens overtime. But from our perspective, there are a couple of things relative to multifamily. One, it is only approximately 6% of our total revenue so it's not the same kind of driver of our revenue that single family, even repair and remodel and commercial art, which is by the way we are seeing good growth or better growth than we expected in those two areas. But multifamily as well, when you look at kind of our installation services and where like the top ten markets for multifamily are, I mean they are generally speaking highlight markets. Those multifamily markets which is not what we are as a company in terms of our multifamily sales, which sort of mid rise low rise on the multifamily side. So, to the extent that the market comes back and 35% versus 30% mix relative to multifamily, it's not a huge driver of our overall business. And we believe that and as we’ve stated before we do receive less revenue on the multifamily side than we do in the single family side. So we believe more importantly from a profitability perspective that the improvements we are seeing in the operations would more than offset any change in the mix between single family and multifamily.
Nishu Sood - Deutsche Bank: Got it. And then second question if I could about the weather effects earlier this year, you folks put up some results that were better than expected given all the concerns that there were about weather in the first quarter and especially given your market coverage and where the weather was worst. So, looking now into the second quarter, were there any bounce back effects from the weather? How did – what were the repercussions of the poor weather earlier in the winter and into the second quarter?
Michael Miller: That's a great question. And the -- as expected, the growth rates within our regions most impacted by the weather, did see an increase in their quarter over quarter revenue, but it wasn't, I wouldn't characterize it as any kind of bounce back workload, it was more consistent with what we would see in those regions relative to it's not being a winter season. So, that they were more in line with what we would expect for them to see it from a growth perspective, in the spring versus in the winter. So, honestly we have not, we've been able to perform, because our field team and branch managers have executed so well for local level, we have really been able to tick out what we believe is a lot of a noise, if you will associated with the weather impact in our results.
Nishu Sood - Deutsche Bank: Got it. So, when we look at year, I think there were record revenues in the second quarter, I think, if I'm reading it correctly that’s your highest revenue. That is not because there was some ketchup from weather delayed projects in the first quarter?
Michael Miller: Absolutely not.
Jeff Edwards: Absolutely not.
Nishu Sood - Deutsche Bank: Okay. Thanks.
Michael Miller: In fact I would even probably argue that the weather carried -- the home building business is something can be covered from the really top weather quarter, just like that. And there is still getting on top of that, some of the places that we're hit the hardest….
Nishu Sood - Deutsche Bank: Got it, makes sense. Thanks for the color.
Operator: Thank you. Our next question comes from the line of Jack Kasprzak with BB&T Capital Markets. Please proceed with your question.
Jack Kasprzak - BB&T Capital Markets: Thanks. Good morning everyone.
Michael Miller: Good morning.
Jeff Edwards: Good morning.
Jack Kasprzak - BB&T Capital Markets: I was wondering, you mentioned and talked a lot about efficiency and greater efficiency in your execution, your performance, I wonder if you could elaborate more on the nature of those efficiencies? Is you have to deal with more acquisitions and layering them into the network and driving improved performance there or came to the greater question in nature of the nature of operating leverage which you’ve obviously performed very well this quarter in terms of driving that revenue growth and the far greater EBITDA growth.
Jeff Edwards: A lot of it -- this is Jeff, Jack. A lot of it is the fact that we’ve got really a larger average branch size than we had in the past and continue to kind of scoped our field team and our branch locations and as a branch gets larger a lot of the SG&A expenses at least at the local branch level gets spread across our larger dollar volume and there is even efficiencies that get driven to the labor force that is true.
Michael Miller: Yes. And this is Michael. The impact of acquisitions on EBITDA and improved profitability was nominal in the second quarter, really it has been driven by just that the improvement within our existing branch network and we’re definitely getting without a doubt labor efficiencies relative to on the installed side, much efficient when there is more volume relative to that. And as I mentioned earlier clearly we’re seeing good benefit associated with the logistics side of the business, so warehousing and providing the transportation to job sides and again the logistic side of the business as we increase our average branch size and increase our sales again we’re continuing to see good operating leverage there.
Jack Kasprzak - BB&T Capital Markets: That’s great. Thanks for that. Second question is, you talked about the balance sheet and that it is obviously in great shape. And the nature of your acquisition program seems to be that it’s consisting of relatively small deals. And I think I have asked you guys this before whether there is some larger deals had an opportunity to really kind of use that balance sheet. But if there aren’t those kind of deals on the horizon, what are your thoughts on using the balance sheet in terms of maybe little bit more leverage in terms of other ways to deploy the capital?
Jeff Edwards: This is Jeff. Definitionally I guess the question I would ask is what would be considered a large acquisition because historically we’ve done three, I mean we just closed but three acquisition over the years that were in the neighborhood of $40 million to $50 million in revenues. And so I don’t know if that’s still considered large or not but ultimately the universe of insulation installers and contractors does have some contractors of size. And clearly we continue to really take a look at and pursue any opportunities we think will make sense for us as a company, really of any size.
Michael Muller: Yes, absolutely. Our pipeline right now of acquisitions is very robust and it consists of companies of larger and smaller than some of the acquisitions that we’ve done. From a capital efficiency perspective, we believe we are very well positioned right now given where we are in the cycle. And the acquisition opportunities that we believe are in front of us. But we are going to continually assess what’s the appropriate leverage for the business and we’ll look to maximize shareholder value through using leverage if necessary.
Jack Kasprzak - BB&T Capital Markets: That's great. Thanks for the color. Good luck
Michael Miller: Thank you.
Operator: Thank you. Our next question comes from the line of Ken Zener with KeyBanc Capital Markets. Please proceed with your question.
Ken Zener - KeyBanc Capital Markets: Good morning, gentlemen.
Michael Miller: Good morning Ken. How are you?
Jeff Edwards: Good morning.
Ken Zener - KeyBanc Capital Markets: I’m doing well. You made a comment about the single-family starts, your 20% versus the end market of 12%. Could you refine that please for -- Mike, I think you’re still around, in around 50% of all the markets in the U.S. Could you kind of compare that to the markets that you are actually serving? The 20% growth rate versus your end markets just to give us a sense on a more regional basis if you have that because I have another question.
Michael Miller: Yes. So unfortunately, we don't have the completions data by market. So we look at it on financial basis. It is as you know broken down regionally. And as we had mentioned before, we’re performing well in all of the U.S. Census Bureau regions relative to single-family completions. I mean clearly completions are different by that census bureau region. So for…
Ken Zener - KeyBanc Capital Markets: Right.
Michael Miller: So for that first half of the year, single-family completions were I think around 10%. And that vary from -- again, either these are the census bureau regions not our regions that vary from 3% in the Northeast to 14% in the Midwest. And as I said before, I mean our sales in those regions are comparing favorably to what the census bureau is reporting for those regions.
Ken Zener - KeyBanc Capital Markets: Right. Okay. I guess I am going to ask another variation of the question that’s been asked already. But if we look at your sequential gross margin expansion which was nice, within the context of how you're talking about your company in general, my understanding was initially you'll be getting a lot more of your EBIT margin recovery from your administrative leverage which would then creep in to the gross profit expansion as you recovered pricing relative to what the manufacturers are asking and as customers get easier what they’re willing to pay you. It seems in fact the second quarter was contrary to that. I mean so you want to sale of 20 million your gross profit dollars went up around 8 million, so that’s pretty good leverage there. Was this an anomaly or could you kind of wrap sequential flavor around how that margin shifted?
Michael Miller: Yes. That's a great question. And we would expect over time as we said in the comments that we will get more leverage on the SG&A side than we will on say the other cost of goods sold side or cost of goods sold side. But right now we're absolutely experiencing on the G&A side, not really on the selling side but on the G&A side, the incremental cost associated with being a publicly traded company which is fairly impacting the G&A expenses. However, we are very good and very optimistic about the operational improvement that we’re seeing on the gross margin line and through cost of goods sold another cost of goods of sold that's happening earlier than we would have expected. So we think that's just a reflection of our ability and we believe that's a reflection of our continued ability to successfully execute at the local level.
Ken Zener - KeyBanc Capital Markets: Right.
Michael Miller: And we don't think that well it may not increase at the same rate quarter over quarter, we do believe that there is still plenty of opportunity for that operational improvement at the gross margin model. And then also we will continue to get and see more benefit on G&A leverage going forward.
Ken Zener - KeyBanc Capital Markets: Right. If I could because you are breaking out selling and administrative that you rolled out for the year. Could you give us a comment on what you think the administrative cost will be this year A. And then the more important element there, there for each let's say $50 million increase in revenue, you didn't choose a number. But just looking for some degree of sensitivity for that administrative component relative to sale. Thank you very much.
Michael Miller: Yes. As you know, we as a company at this time chosen not to provide very specific sort of guidance. And Rob, if you are going to look at that overtime and as we are -- have more time as a public [recreator] company we will probably start providing some level of guidance. But what we would say as it relates to the G&A, it is not nearly as seasonal or cyclical as our revenue is. And again as a consequence, we believe that overtime, we're going to get more leverage on the G&A side.
Ken Zener - KeyBanc Capital Markets: Thank you.
Operator: Thank you. Our next question comes from the line of Keith Hughes with SunTrust. Please proceed with your question.
Keith Hughes - SunTrust: My question is on the acquisition environment, given some of the slowdown in start activity. Is that changing the conversation with target so they were willing to consider selling and potentially at better prices?
Michael Miller: No, I don’t believe so. I think for the most part goes that weather is the downturn, we are honestly relatively pleased with where the market is even now. So I don’t know that they’ve really looked at kind of the little bit of swap with any kind of great degree of concern. And like we mentioned earlier we feel very good about our pipeline, but then again it’s our job to perform on that and talk as cheap, we kind look at -- our job is here is really there is a three-pronged or three legged stool of our opinion. One of which we probably have the least amount of control over and that is the market and how the market recovers from a housing perspective, the other two we obviously have a much greater degree of control over one being just operating the business on a day to day basis and put really kind of the numbers on the board. And then the third leg really is acquisition. So, we clearly see that as one of our core strengths, we’re beating the streets in that way and feel good about it. But again like I said talk as cheap and we got to continue to make the acquisitions and make them work for us.
Keith Hughes - SunTrust: Okay. Final question, again the nice price mix increase in the quarter. How much the price increase in an installation play what was rolling that play on number?
Michael Miller: You mean the actual cost of installation to us?
Keith Hughes - SunTrust: Well I mean the manufacturing have gone up I know you passed through is there any extra pricing that you’re able to get that your size in the market and (inaudible) and serve specific markets you have large share?
Michael Miller: I mean clearly as our costs go up being the prudent business people we have to go out and get whatever cost increases to the extent that we can cover it. But I would say that we’re diligent about that but for 20 years now we have been deciding on who we are going to do business for and who we’re not going to work for and that’s based on whether we think we are being paid a fair price for the services we provide. So even absent rising price environment we continue to sculpt the business clearly in a rising price environment that is amplified a bit. But in a nutshell, that’s really what we are doing every day.
Keith Hughes - SunTrust: Alright thanks it. Thank you.
Operator: Thank you. (Operator Instructions). Our next question comes from the line of Ivy Zelman with Zelman & Associates. Please proceed with your question.
Ivy Zelman - Zelman & Associates: Good morning, congratulations on a strong quarter. I think I don’t know if Mike or Jeff if guys can address this, I think what we are all trying to get at, listening to other peoples questions is to appreciate the dynamics of your growth that you just generated and going forward, so looking at your footprint and your market share, if you were to look at the volume that you were able to generate, would you say that you were really the beneficiary of footprint in terms of the starts outpacing or completions started that are outpacing the overall completion start numbers or is it market share gains within the footprints you operate and maybe to distinguish market share gains from just outperformance based on the locations that you are dominant and it’s still my first question if you can help us clear those pegs or square those data points?
Jeff Edwards: Sure that’s a great question Ivy. And if you look at it on a completions basis again I am going back to the U.S. [San Francisco] region the Northeast and the West where we are very well represented in Northeast and well represented presented in the West as well, I mean completions in those markets are only up 3% and 5%, respectively. So we're really seeing good market share gains kind of across our market, so it really is to this the latter part of your question that we're seeing within our big branches or just we're seeing them that have good market share, we're seeing their ability to continue to hold that market share and gain market share. Even in markets that might be a little bit slower growth than the overall market.
Ivy Zelman - Zelman & Associates: And…
Michael Miller: So again, I'm sorry…
Ivy Zelman - Zelman & Associates: No, you please.
Michael Miller: But again to say again it's really about that global execution and the team that we have in place that’s been with us for 10, 20 years that are doing a great job quite frankly.
Ivy Zelman - Zelman & Associates: And we as analysts are thinking about some of the dynamics, when you talk about execution and how you continue to gain share. Could you see that there is a sealing where you will saturate that opportunity. How far can you actually go with respect to market share gain realistically over the next call it 12 to 36 months?
Michael Miller: That's a great question, I mean obviously you can't have more than a 100% market share, right.
Jeff Edwards: We are not in a lot of markets still.
Michael Miller: Right, exactly. So but within a specific market, I mean it’s interesting if you just kind of think of our footprint and I'm sure you don’t have a map of our footprint there. But generally speaking the market that where we've had branches the longest has been part of the IBP team in the longest, we tend to have the highest amount of market share. So if you look at the Northeast and the Midwest, I mean just by the nature of our market share in those markets, we probably have less room to grow. The good news is if you look at the Southeast, South and the West those are some of our newer branches, where we have a lowest amount of market share. So we have the greatest amount of opportunity in those markets and those are also the markets that most people believe would have the greatest housing activity or increase in housing activity over the next couple of years. So, clearly we’re not going to grow at 10 points above the market forever but we still believe based upon the maturity of our branches in the Northeast and the Midwest and the opportunity that we have in the Southwest excluding the acquisition opportunity that’s there that we still have quite a bit of room to grow on our ability to grow our revenue above kind of a single family growth rate that the overall market is seeing.
Jeff Edwards: Yes. And if we’re defining share on a national basis, it's really two-pronged, it’s both geographic growth because we’re not represented or underrepresented in the market; and then it’s market specific in our ability to outperform and grow share within those markets.
Operator: Thank you. Mr. Edward, we come to the end of our time for questions. I’d like to turn the floor back to you for any closing comments.
Jeff Edwards: Okay. I would like to thank all of you for your questions. And I am looking forward to our next quarterly update and conversation. Thank you.
Michael Miller: Thank you everyone.
Operator: Thank you. This concludes today’s teleconference. You may disconnect your lines. And have a wonderful day. We thank you for your participation.